Operator: Hello, and welcome to BrightView Holdings' Third Quarter 2024 Earnings Call. My name is Ezra, and I'll be coordinating your call today. [Operator Instructions] I will now hand over to your host, Chris Stoczko, Vice President of Finance and Investor Relations to begin. Chris, please go ahead.
Chris Stoczko: Good morning and thank you for joining BrightView's third quarter earnings call. Dale Asplund, BrightView's President and Chief Executive Officer; and Brett Urban, Chief Financial Officer, are on the call. I will now refer you to slide two of the presentation, which can also be found on our website, which contains our Safe Harbor disclaimer. Our presentation includes forward-looking statements subject to risks and uncertainties. In addition, during this call we will refer to certain non-GAAP financial measures. Please see our press release and 8-K issued yesterday for a reconciliation of these measures. With that, I will now turn the call over to Dale.
Dale Asplund: Thanks, Chris, and good morning, everyone. As I reflect on my time here, which is approximately one-year mark, my conviction in the incredible opportunities both near and long-term continue to increase as we are on pace to deliver a breakout year. We are doing this by operating as a unified one BrightView, and leveraging our size and scale to drive profitable growth. Both will lead to meaningful shareholder value creation. As I've said from day one, this begins with taking better care of our employees, who will in turn provide better service to our customers. I'm extremely grateful for our employees and their increased commitment for putting our customers at the center of everything we do. I will start on slide four by emphasizing our achievements and ongoing progress, along with strategic updates that will enhance our position to accomplish our objectives. First, we delivered a record Q3 and year-to-date EBITDA with margin improvement across all segments, and we are reaffirming full-year '24 revenue, EBITDA, and margin guidance, all while raising free cash flow for the second time this year. Brett will get into more details on the financials in a few minutes. I want to focus my comments on the tremendous progress being made towards One BrightView. As I have said from day one, our goal is to become the employer of choice. And this is the first step in our journey, investing in our frontline employees will be the core to our future success. By making these investments, it will translate to improved employee turnover and customer retention; more on this in a minute. We have also streamlined our operating structure, integrated our business lines to provide cross-selling, and are enhancing our technology offering to ensure optimal market coverage and route density. By reducing legacy inefficiencies, it brings us closer to our customers. On slide five, I will discuss some of the initiatives we are taking to become the employer of choice and the impact it is having. As I said earlier, our objective is to build a winning culture. So, our employees take greater pride in being part of the BrightView team and have unwavering confidence in the fact that they are our single more important asset. While this requires upfront investment, this will result in reduced employee turnover and increased customer retention, and ultimately drive sustainable, profitable growth. To remind you of a few examples of these investments, we are refreshing our fleet of trucks and mowers. And in March, we launched the Boots program to ensure our employees are not only safe, but comfortable, enabling them to better service our customers. While this is a snapshot of a few of the changes underway, we are already seeing positive momentum in employee turnover. For instance, the past seven months the turnover rate for our frontline employees has improved an impressive 1,900 basis points, including six consecutive monthly improvements. This shows, unequivocally, that if we take care of our employees they'll become more engaged and more likely to stay. The first step in our One BrightView journey has always been employees first as they are the key to providing best-in-class service. On slide six, similar to investing in our employees, the goal to significantly improve customer retention requires a commitment to provide best-in-class service levels. This will translate to the momentum towards growth. As you can see on the chart, we have seen a steady increase in retention rates, specifically over my first nine months, we had delivered 150 basis points improvement with significant opportunity remaining. While these trends may not be linear as we continue to transform BrightView, I am confident that we'll experience incremental benefit as a more consistent employee base delivers efficient, collaborative, and unified service to our customers. Continued progress on employee turnover and customer retention will fundamentally change the way BrightView operates, and had the greatest impact to delivering long-term profitable growth. On slide seven, I'll further highlight the benefit of operating as a unified One BrightView. As we have broken down silos, we are gaining traction in cross-selling BrightView's full suite of services. As an example, we recently concluded a $4 million development project in the Southwest on behalf of a prominent corporate client, and converted this relationship into a $400,000 annual reoccurring maintenance contract. This is one example of the significant underleveraged opportunity that will create meaningful future growth. Additionally, as we seek to optimize our total addressable market, we have equipped our branches with a prospecting tool that enables more deliberate customer targeting. The combination of incorporating our sales force into our branches and leveraging enhanced technology is expected to improve route density, reduce windshield time, and improve margins. As you can see on the map on the right, the legacy sales strategy was to win new accounts with limited consideration for customer location relative to existing accounts. In turn, our crew spent too much wasted time behind the windshield instead of servicing our customers. The increased route density bundled with increased cross-selling between the development and maintenance business will drive sustainable long-term profitable growth and margin expansion. Before turning to call over to Brett to discuss our financial results for the quarter, I'll remind everyone that the investments we are making in our employees today are crucial to positioning us for sustainable success over the long-term. As the nation's largest provider in our industry, there is tremendous opportunity to leverage our size and scale, and capitalize on cross-selling opportunities to unlock growth in our business and gain market share. As I visit our branches, it's refreshing to see a whole new mindset and sense of teamwork across the integrated business. This gives me an added level of confidence that the work we have done in strengthening our culture will translate to continued improvement in employee turnover and client retention, while delivering best-in-class services to our customers. While there's more work to be done, we have successfully taken the initial steps to instill a more disciplined strategy to the customers we approach and the pride we take in servicing them. We are increasingly confident in our ability to capitalize on the significant opportunities that lie ahead. While fiscal 2024 is on track to be a breakthrough year, our enthusiasm is truly unbridled as we think about the long-term when we reflect on our earnings power, cash flows, and value we can deliver to our employees, customers, and shareholders. With that, I'll turn it over to Brett who will discuss our strong results and our financial guidance. Brett?
Brett Urban: Thank you, Dale, and good morning to everyone. Let me start by saying how proud I am of the entire BrightView team as we continue to work together during what is on pace to be a breakout year as we execute on our strategy of driving profitable growth. This is evidenced in our strong results for both the quarter and year-to-date, which both reflect record EBITDA performances for the company, alongside margin expansion across all segments. We are truly transforming this business and setting the stage for long-term profitable growth and shareholder value creation. Moving to slide nine, total revenue during the quarter, of $739 million, was down 3.6% year-over-year. However, when excluding the impact of exiting the U.S. Lawns and aggregator business, revenue was essentially flat. While land was impacted by the exit of these two businesses, we remain very encouraged by the underlying health of the market and recent trends within our business. Notably, our improved employee turnover and customer retention metrics, as Dale previously mentioned. The Development business increased 5.7% as a result of continued conversion of our backlog and high-quality projects. This presents significant opportunity with our revamped go-to-market strategy to convert these projects into future recurring maintenance contracts. As development continues to grow, this enhances our ability to further drive Land results through cross-selling opportunities in fiscal '25, and beyond. Turning now to profitability and the details on slide 10, total adjusted EBITDA for the third quarter was $108 million, an increase of $6 million or 6% versus the prior-year period. Margin expanded an impressive 130 basis points, and reflects continued benefits from our ongoing profitability initiatives. Adjusted EBITDA margins in the Maintenance segment improved by 40 basis points as we continue to operate more efficiently. This represents an adjusted EBITDA decline of $5 million, of which a little more than $1 million was related to the divestitures of U.S. Lawns. Additionally, during the quarter, our overhead expense savings enabled us to reinvest towards best-in-class service levels for our land customers. The majority of this reinvestment was in the form of frontline labor, and was an approximate $10 million increase year-over-year in Q3. In the Development segment, adjusted EBITDA for the third quarter was $31 million, an increase of 29% compared to the prior year. Adjusted EBITDA margin expanded a notable 270 basis points. This is a result of the high-quality backlog conversation while further reducing our costs, ultimately resulting in accretive growth. In our Corporate segment, corporate expenses for the third quarter saw a substantial decrease year-over-year as we made further progress with our One BrightView strategy. We continue to evaluate opportunities for centralization, which we expect to lead to further efficiencies in totality for BrightView. Let's now turn to slide 11 to review our free cash flow, capital expenditures, and leverage. Our year-to-date free cash flow generation was a robust $120 million, compared to $38 million in the prior year. It's important to note we are committed to reinvesting in our fleet, and our year-over-year CapEx reduction is largely timing related. Year-to-date net CapEx was $32 million; however timing can impact this as we saw in the third quarter. For example, we received approximately $21 million of vehicle deliveries in Q3, but will pay for them in the fourth quarter. For the year, we still expect net CapEx intensity to be approximately 3.5% of revenue or around $100 million. Net leverage at the end of the quarter came in at 2.4x, compared to 4.8x in the prior-year period. This lower leverage reflects a significant reduction in our debt, improved liquidity, and improved profitability in the business. Our leverage profile allows for financial flexibility for ongoing execution of our profitable growth strategy and further investment in the business. Let's now turn to slide 12. Over the last year, we have fundamentally changed the overall debt and liquidity structure of the business. Let me quickly remind you of what we have done to reduce leverage and create significant financial flexibility. We amended our term loan and we extended and upsized our A/R securitization facility resulting in reduced interest rates and no near-term debt maturities. We reduced our debt by $549 million or roughly by 40%. We reduced annual interest expense by approximately $45 million, and we increased total liquidity by over 60% to approximately $535 million. These steps we have taken over the last year demonstrates that we will execute every opportunity to fortify our balance sheet, drive shareholder value, and be good stewards of capital. Before moving to our guidance, I want to take a minute, on slide 13, to reflect on our year-to-date progress as we transform this business. Nine months into the fiscal year, we are extremely pleased with our results and we remain on track to deliver on our commitments despite the impact of snow at the low end of our guide and exiting two non-core businesses. Fiscal '24 is on pace to be a record year as we have revamped our operating structure and changed our compensation plan to encourage collaboration and drive profitable growth. And as a result, we are seeing margins expand across all segments. Moving to slide 14, where we outline revenue, EBITDA and free cash flow guidance. While we narrowed our ranges, it's important to note that we continue to hold the midpoint of our guidance for revenue and EBITDA. Additionally, we are raising our free cash flow guidance for the second time this year. As we close in on the end of our fiscal year, we are tightening the revenue ranges to $2.75 billion to $2.79 billion, and maintaining our midpoint of $2.77 billion. The updated revenue guidance assumes the following. For Land, we have not changed our guidance and are holding to the approximately 6% down, which included the roughly $70 million impact from existing our non-core businesses. For Development, we are increasing our assumption of 2% to 5% growth for the year to the high end of 5% as the conversion of our robust backlog continues. Moving to adjusted EBITDA, we are tightening this range as well to $320 million to $330 million, and maintaining our midpoint of $325 million with margin expansion expected across all segments. For free cash flow, we expect the continuation of healthy cash flow generation driven by improved operating performance. Our outlook reflects our continued momentum on our broad-based initiatives to reinvest in the business and drive profitable growth. Altogether, we now expect to generate free cash flow of $65 million to $80 million, which marks the second consecutive increase to the guidance range. Before I hand the call back over to Dale, I want to reiterate my excitement around the investments we are making and the impact it has had on the momentum in the business and our culture. By taking better care of our employees, who in turn are taking better care of our customers, I feel more optimistic than ever regarding the future of our company. With that, let me now turn the call back to Dale to wrap up on slide 15.
Dale Asplund: Thanks, Brett. Before we open the call for questions, I want to provide a brief recap on our performance and key takeaways from our remarks today. First, we generated record Q3 and year-to-date EBITDA, with margin improvements across all segments. Our employee investments are positively impacting turnover and engagement. Best-in-class customer service levels coupled with increased employee engagement are leading to momentum in our customer retention. The new One BrightView alignment creates significant opportunities to cross-sell development into maintenance. And technology enhancements are enabling our branches to efficiently identify targeted growth opportunities and to capture market share. As you can hear, we continue to make great strides and achieve milestone on a wide range of initiatives, and remain highly confident we will continue to deliver on our objectives that will translate into an impressive long-term growth trajectory and create value for our stakeholders. We will now open the call for questions.
Operator: Thank you very much. [Operator Instructions] We've got our first question from Tim Mulrooney with William Blair. Tim, your line is now open, please go ahead.
Tim Mulrooney: Dale, Brett, good morning.
Dale Asplund: Good morning, Tim.
Brett Urban: Morning.
Tim Mulrooney: So, seeing that improvement in the customer retention rates is very promising. And I guess I'm hoping you could give us a little more history here on customer retention rates within that Maintenance business. Could you talk about where BrightView was, I guess, a couple of years ago, back when the company went public, where you're at today, and where you'd ideally like to be? What do you think that a scaled commercial landscaping business should be generating, optimally?
Dale Asplund: Great. Tim, I'll start with that. This is Dale. Look, since day one I'd said the number one most important metric in this business is taking care of the customers we have today and retaining them so we can grow, and grow profitably in the long-term. Let me give everybody a high level of the history of this statistic without giving specific decimal place numbers, but this is why when I give you this history you'll realize why we're still excited. If you think back to when the company went public, the company was, if you look at the original S1, it will give you the number; it was 85% was our retention when the company went public. We saw, during 2019, and 2020, 2021, a slight deterioration to that original number that we went live -- when we went public. In 2022, we saw much greater deterioration as we maybe hit some headwinds with some of the M&A work we had done, and didn't integrate properly. And at that point, it hit almost the bottom. 2023, in my mind, it deteriorated a little more from 2022 to hit a bottom level that was over 5% below the original go-live of 85%. Now, what we shared today was, in my first nine months, year-to-date through Q3 for us, we've seen 150 basis point improvement, and this is what's the most exciting. If you think about the history I just said to you, 2024 will be the first year since the company went public that we are going to see an increase year-over-year in [technical difficulty] retention. This is what makes it so exciting, Tim, because this is our path for future growth. This is the metric that really matters. And I've been preaching to my branches, there's nothing more important than putting the customer at the center of everything we do. And I can -- Brett can maybe add to this if you'd like to and talk about some of the metrics that he's seen and we shared that investment. So, Brett, why don't you add --
Brett Urban: Yes, Tim, it's a great question. I think from the minute Dale stepped foot in as CEO, he mentioned employees and customers are our main focus and need to be our main focus to get this business going in the right direction long-term. I couldn't be more excited about the momentum in the business. We are making the right long-term business decisions by focusing on our employees and taking care of our customers. And if you look at Q3, and we said the number in our script, we had the substantial savings in our SG&A line of $16 million year-over-year. We also saw Development produced high-quality projects, both on the job level margins increasing as well as the overhead efficiencies they're getting. Both those things allowed us the flexibility to go and reinvest back into [technical difficulty] labor and back into customer service levels. That reinvestment was around $10 million in Q3. And even with that reinvestment, we still posted a record quarter. So, we were looking at right long-term business decisions to manage this business. We're still focused on producing profits, we're still focused on growing this business, but we are focused on the right long-term decisions, and that reinvestment, we're starting to see those green shoots in customer retention, as Dale mentioned. And we feel confident that this year will be the first year since going public that we'll see that customer retention metric improve.
Dale Asplund: Hey, Tim, let me take the second part of your question. If you said what do I think is optimal. Here's what I can tell you. I've been out to branches that are operating at customer retention in the plus-90% level. Those branches grow, and they grow profitably. They have engaged employees, they have happy customers, and the whole team is understanding the importance of that customer. I don't think that goal -- public level of 85% should be our target. We have some work to do to get back to that level. And every 1% improvement creates an opportunity of around $15 million of Maintenance land revenue for us. That's why we're so excited. I see us going well past that 85% level that we went public with, with back in 2018. So, I don't want to give a number for where we're going to end because my branches know, like safety with no accidents acceptable, I don't want to lose any customers. My goal is to get 100% customer retention, whether that's unrealistic, I'd really like to go for that goal one day.
Tim Mulrooney: That's all really great color, guys. Thank you for all of that. Just as a really quick follow-up, you mentioned the 100 basis point improvement equates to $15 million in extra revenue. How should we think about the margins associated with that extra revenue, is that a different margin profile than new business?
Dale Asplund: Obviously, the cost to acquire a customer you already have is much less than getting a new one. So, absolutely, Tim, when we grow this business in 2025 in our Land, and we push that through our existing infrastructure organically, you will see margins improve because the flow-through on that incremental business leveraging our existing overhead will be greater than our existing margins, so absolutely. I mean I would be very disappointed if this didn't help continue the progress we've seen this year on margin expansion as we went through '25, '26, and future years. So, it's a great question. I think the midpoint of our guide right now is suggesting over 100 basis points improvement from last year's result. And I see that continuing and this will be a key lever that will allow us to continue to expand those margins.
Tim Mulrooney: That was what I was looking for. Thank you, Dale. Thanks, Brett.
Dale Asplund: Thanks, Tim.
Brett Urban: Thanks, Tim.
Operator: Thank you very much. Our next question is from Bob Labick with CJS Securities. Bob, your line is now open, please go ahead.
Bob Labick: Thank you. Good morning, and congratulations on those strong retention improvement numbers in such a short period of time.
Dale Asplund: Thanks, Bob.
Brett Urban: Yes, thank you, Bob.
Bob Labick: Absolutely. Yes, so I wanted to start, you have, obviously, what seems as profitability growth in driving that. And looking at slide seven, you talk about something I want to dig into a little bit. One of the things we've talked about is the big opportunity of converting Development service work into recurring or reoccurring Maintenance work. So, what are you doing differently now, what historically did BrightView do in the past that was either unsuccessful or was it not even an effort to do that? And how do you see this driving profitable growth going forward, what's the opportunity ahead of us?
Dale Asplund: Great question, Bob. So, I'll start off at a high level operationally, and then I'll let Brett talk through some of the math on how it can help us long-term. So, firstly, we talked about on our last call our new operating structure; breaking down silos, getting people working together. That's been a huge cultural change to this business to have eight geographic leaders that manage both our Development group and our Maintenance group. We brought those teams together that actually are now communicating regularly on a daily basis. In the past, these groups were almost motivated to not be cooperating with each other, and not get the full leverage of the ongoing maintenance. Our Development business is growing, and growing, as you saw in the quarter, and expected to grow this year at the high end of the range we gave you last quarter. It is a very, very quality group, and the work we're getting continues to come out of the ground. The opportunity, like you said, is to take that work and transition it to our Maintenance group. It's our ability to leverage the size and scale of BrightView to further distance that growth every year by converting that. And let me let Brett comment on the math behind that and probably make sense for you why we're so excited about this new collaboration that we're feeling under our new org structure.
Brett Urban: Yes, Bob, if we look at the math again, look, I think as we showed an example in the deck of a development conversion. Again, we're at the very early stages of this conversion opportunity. As you think about the way the business was siloed in the past and now our new operating structure at a leadership level and our new go-to-market strategy as we approach customers as One holistic BrightView, it creates such opportunity for development to convert into maintenance. We showed a slide in the deck of a $4 million development opportunity that we just recently converted into a $400,000 maintenance contract. That that's really what we're talking about, is seeing more of those opportunities convert. In the past, we converted less than 10% of projects from Development into Maintenance contract, less than 10%. And the size of the price there, Bob, just to remind, I guess, everyone on the call, our Development business is guided to around $800 million of revenue this year. It's about $0.07 on every development dollar converts into a maintenance contract because the development projects are larger, one-time in nature, the reoccurring maintenance is really $0.07 on the dollar. So, general rule of thumb, that $800 million of revenue will kick off something like $55 million of maintenance contracts in the next 12 months, right? We've converted less than 10% of that in the past, call it less than $5 million. There's a $50 million untapped opportunity, that the way we were structured in the past wasn't really allowing for that collaboration to convert those projects to maintenance. But now, the way we're structured in the future, again we're seeing some early wins like the one we shared in our slide deck are really taking advantage of that $50 million size of the prize on those conversions. And that, as we couple with the customer retention we talked about earlier, that's where we feel really confident that as we get into '25, and beyond, we're going to see that Land organic growth beginning to tick up.
Bob Labick: Okay, great. Yes, that's super helpful and is -- obviously can be very powerful and exciting. And then so just one other quick question, if I may, in terms of one of the things you highlighted as well is reinvestment in the fleet, in the truck, and the mowers, and in your employees. Can you give a sense of where we are in that, and when do you start seeing benefits? I believe the benefits are going to be in equipment rental and maintenance costs dropping. Can you maybe size it, and is this a five-year program, 10-year program, or might we even start seeing some benefits next year? How does that roll into the P&L?
Dale Asplund: Yes. So, there's two ways to look at it, Bob. First, I would say we started that process. We've received a lot of new mowers this year to replace some of our older mowers. And we will continue on the mowers and the truck. We're starting to upgrade at a regular pace. In fact, we saw a lot of fleet land right at the end of Q2 -- or Q3. And as we had into Q4, we still expect our guide that we originally started with, about 3.5% of revenue, to be accurate. But the reduced maintenance, the future residual values are great. Even the fleet we've received today, Bob, the bigger impact is on the employee. The employee having a mower that they can depend on that's new, that they can take care of customers with. The employee getting a new truck, that truck is their office. That truck is important for them. They spend their whole day in there. And like we started the whole conversation with today, I said, from day one, we have to become the employer of choice. We have to make sure we take better care of the people that touch our customers on the frontline. I don't want anybody to miss the metric we shared. In the last -- since December, we've had our overall turnover of our frontline crews come down 1,900 basis points. That's a result of not only the Boots program, like I said, but getting these new trucks, getting new mower, that's what's so exciting. The investments we are making, great, they're going to help us on the P&L long-term. And over the next three years, let's call it, we'll go through that transition, much bigger than that. It's helping us in the most important metric, taking better care of our employees so they can service our customers better. So, Brett, if you want to add any comment.
Brett Urban: No, I think you're right on. And last earnings call we mentioned, Bob, we just brought on a new leader for our fleet department to really enact this strategy to make sure fleet, with our truck to mowers, it's truly a strategy of how we acquire, maintain, and then dispose of timely, the fleet we have. So, we're going through that process now of upgrading the age of our fleet and mowers. We also brought in a new leader for procurement that is going through how to procure those pieces of equipment better, how to procure materials better. So, if you think about the long-term margin in the business, yes, it's customer retention-focused, those customers are much less expensive to acquire than acquiring new customers. It's enacting our fleet strategy and buying, maintaining, and disposing of them in a timely manner. We're not keeping fleet now 10-plus years, where we're spending a significant amount on maintenance, and then it breaks down, we have to rent something new. That's all going to go away. It's going to take us a few years to get through that whole strategy, but that's all going to be incremental margin improvement as we move forward.
Bob Labick: Super. Thank you so much.
Brett Urban: Thanks, Bob.
Dale Asplund: Thank you, Bob.
Operator: Thank you very much. Our next question is from Andy Wittmann with Baird. Andy, your line is now open, please go ahead.
Andy Wittmann: Thanks. Good morning, and thank you for taking my questions. I wanted to, I guess, build on the capital question from the last person here. Your free cash flow guide here is $65 million to $80 million, and up, and that's great. But you guys are at, by my calculations, at $120 million year-to-date, so there's a big cash drag in 4Q. And Brett, so thought maybe I'd give you a chance to talk about why there's a cash burn in the fourth quarter. Is that CapEx just literally heavy or is there working capital, or what's going on there?
Brett Urban: Yes, I'd say two things, Andy. One, and our balance sheet is so well-positioned right now to invest back in the business. We have leverage at all-time lows, we have liquidity at all-time high, our debt are at all-time lows since going public. So, the balance is so well-positioned to reinvest back in the business. As you think about we're at to date, $120 million of free cash flow, that's on $32 million of CapEx. We are still guiding to spend right around $100 million in CapEx. A lot of this capital, if we could get it quicker we would. But a lot of the capital seen coming in, mainly in trucks, like at the end of June, we received a significant amount of trucks, about $21 million worth, but we're going to end up paying for that in the first couple of weeks of July, when it hits CapEx. So right there, if you just adjust for that number, the $120 million of cash flow is more like $100 million of cash flow. And that would put us on pace to spend another $50 million or so in Q4 for capital. So, we're going to continue to make sure we reinvest in capital and our fleet. And timing could impact that as we get to the end of Q4, but the data we're looking at now would still have us on track to spend about $100 million of CapEx, so that's about a $70 million drag right now from what's in the P&L and the balance sheet for Q3 versus what's in Q4. That's the biggest item, Andy, that's going to drive that down.
Andy Wittmann: Okay. And then, Dale, for you, I think since you took the job, you've kind of looked at the comp plans, so there's too many comp plans, lots of things you said about the comp plan you mentioned in your prepared remarks as well. So, maybe I would have you just give a little bit more detail on this one. What levels and positions were specifically impacted as you changed incentives around your company? And can you talk about any changes, at a high level, what those included? And maybe even more importantly, how they've been received and if it helps or hindered the employee retention on those positions that were affected by the comp plan change?
Dale Asplund: Yes, great. Good question, Andy. I would say, you brought it up, we had a lot of people being compensated differently across the company. In fact, when I joined we had over 30 different discretionary compensation programs to reward our people for the way that they perform. That obviously didn't create everybody rolling in the same direction. So we redid it. We found a way to come up with a simple plan for our branch, that everybody at the branch shares and the common profit-sharing pool. When they grow, and they grow profitably, that's what's key. We don't use budget, we use year-over-year profitable growth. And what makes me the happiest about that, Brett talked about the $10 million increase we saw making investing in our frontline people to make sure we can service customers better. That creates a headwind for all those branches that make that decision, that taking care of our customer is so important, because they know the impact that will have on their program next year, and the year after that. So, it's all about getting everybody on one program. In fact, we have two programs as a company now. We basically have our branch and market program, and then we have a corporate program. And the only different with corporate is, like many public companies, we use some key metrics, such as diversity, safety, that we put into our overall program. But our programs are 80% based on that EBITDA and EBITDA growth. So, it's all about getting everybody aligned. It's all about taking every person at the branch, Andy, and make sure they're all working at the common goal of driving profitable growth long-term. It's been received very well. In the past, bonus dollars were distributed by who could budget at the lowest level. And even if they budgeted, they shrink and they shrunk, they could be rewarded. Today, the profit sharing program is going to reward the people that grow the bottom line, and that's what we want to do. So, it's been very well-received, and it's motivating the people to know that if they run their business and run it responsibly, take care of their customers and grow the business, they're going to be rewarded for it. So, great question.
Andy Wittmann: Appreciate that answer. I'm going to leave it there for today. Have a good day.
Brett Urban: Thank you, Andy.
Dale Asplund: Thanks, Andy.
Operator: Thank you very much. Our next question is from Greg Palm with Craig-Hallum Capital Group. Greg, your line is now open, please go ahead.
Greg Palm: Yes, thanks. Morning, everybody, and congrats on the continued progress here. Brett, I know you alluded to return of growth in that core Maintenance segment. But can we dig into that a little bit more. There's clearly lots of levers, the cross-selling potential, retention rates, it just seems like there's a lot of positive indicators at this point, it's still pretty early. So, it begs the question do some of these initial metrics make you more confident in that ultimate reacceleration, kind of the longer-term potential, would love to get maybe just a little bit more color on how you're thinking about the long-term?
Dale Asplund: Look, I think let me jump in, Greg, real quick. I think the way Brett ended his part of the opening today says a lot. Brett's seen, and Brett's a believer now with the commitment that we made to reinvest in our employees because we're not managing the business for each quarter. We had a record quarter. We had an unbelievable Q3 for the business, and we are showing progress in so many ways. But we need to grow this business, not just Development, not just cut the overhead; we need to grow our core Land business. That is our next lever. So, I'll let Brett talk about how he sees it going out through '25, but you're right, Greg, this is our next lever. And we are positioned today, that we are in a better position going into '25 than any other year we were going into. So, Brett, I'll let you comment.
Brett Urban: Yes, no, I fully agree. Look, I think if you go to slide nine in the presentation, we're still stepping over some of our aggregator business exit, U.S. Lawns divestiture, that's going to be about $25 million headwind in Q4. That's going to be about a $10 million headwind to that Land number in Q1, and in Q2. So, call it, $20 million in the first-half of the year. But, look, I can't tell you if it's going to be March of next year, April of next year, June of next year, July of next year, but we are on such -- we have such momentum behind that land growth metric. And if you think about what we're doing from a customer retention standpoint, every 100 basis points or so our customer retention is worth $15 million annualized of contract and the ancillary growth. Those develop in conversions, that $50 million of untapped opportunity, I mean that's significant growth even if we don't go all the way from zero to 100 overnight, if we start to incrementally kick that up from less than 10%, to 25%, to 50%, that's newfound opportunity to this company that we've never executed in the past. So, yes, I think as Dale said best, we are doing such a good job expanding margins this year, which is really coming from restructuring the company and cost controls in the business, and our Development business continuing to produce. As you think about next year, getting to the back-half or the exit speed of next year, it's going to be that Land organic growth coupled with the Development growth that we're seeing, coupled with the streamlined operating structure, that's really going to be where this company takes off. But yes, we feel more confident than ever today on that long-term organic land growth as you get into the back-half of next year.
Greg Palm: Okay, good, appreciate that. And then on the frontline employee retention metric, I mean that really stood out. And it sounds like, and I'm sure the primary reason is some of the investments you've made around in the fleet and the boots, that's what it sounds like. I guess how do you continue to improve this metric, going forward, even after lapping some of those big initial investments that have maybe caused that metric to come down to this level?
Dale Asplund: Look, Greg, I'll start and kick it over to Brett, but it starts with recognizing how important those people are. They have to understand the importance that they service our customers every day at the highest level. That's where it starts with. I have traveled along the country. I have been out to visit most of these branches. The way I start my day every time is doing stretch and flex with our frontline crews. And when they see that, they understand. And the culture has transformed. I remind every person above the crews that leave our yard every day, we work for them. We work for them to make sure their jobs should be easier to service our customers. That's a complete change than where we were 12, 18, 24 months ago. That's probably the quickest way I can tell you, what's causing that turnover reduction is culture, that is the number one word. But, Brett, I'll --
Brett Urban: No, I would just add that we have to continue to be unwavering on executing our strategy, and we have been, through the first nine months of this year. We recognize the importance of every 90-day cycle in delivering a quarter. But making the right long-term business decisions and taking care of those employees, making sure we continue to get them new trucks and mowers, make sure we look at things like the Boot program, where we can, to get them in the right safety, comfortable work shoes, like we did back in Q2, continue to be unwavering in that, Greg, because that will lead to the long-term health of this business. We recognize the 90-days, we're a public company, but that even goes through our shift from going from quarterly guidance to annual guidance because we're so focused on the right long-term decisions, we have to continue to be unwavering on that, making sure those employees come first, in turn will take care of our customers, driving that customer satisfaction, driving that satisfaction enables us to get easier price increase conversations, more conversions into Development, into Maintenance, more references for new customers. So, we just got to make sure we continue to be unwavering on that strategy, and execute it every chance we get.
Greg Palm: Yes, makes sense. I will leave it there. Thanks for all the color.
Brett Urban: Thanks, Greg.
Dale Asplund: Hey, thank you, Greg.
Operator: Thank you very much. Our next question is from Jeffrey Stevenson with Loop Capital. Jeffrey, your line is now open, please go ahead.
Jeffrey Stevenson: Yes, thanks for taking my questions, and congrats on the nice quarter. So, what were the primary drivers of the strong development expansion during the quarter? And also, do you believe that Development margin improvement is coming in ahead of schedule now that pricing protections are included in contracts, and lower margin work is beginning to be worked off as well?
Dale Asplund: Okay, so Jeff, let me start the answer with that. And thank you again for visiting us in Chicago where I was able to spend time with you. You saw the work we're doing at the Obama Presidential Center with me. Our development team, hands down, does some of the most amazing work across North America. We've got to make sure we continue that as we go forward. That the level of skill we have in our Development group is second to none. So, I'll let Brett comment about the margin of the business, but remember it starts with being the partner of choice for your customers to make sure they know, by choosing BrightView, they're choosing the best group to do their work. But Brett, I'll let you comment on the margin expansion.
Brett Urban: Yes, Jeff, great question. Look, we feel so optimistic about this business, we've said it now for the last six or seven quarters, we're going to say it again this quarter. Our backlog in Development is essentially sold out through this time next year or through the end of Q3 next year. So, even if that business doesn't sell any more work between now and then, we're essentially sold through this point next year. We continue to see significant opportunities in that business, to grow that backlog, and grow revenue. I'd say, from a margin standpoint, a few years back, if you go back to 2019, this business was operating around 14% EBITDA margin, and then we saw hyperinflation, and we had contracts that didn't have price protection in there, right? But we fixed all that. In 2022, 2023, we start to put those price protections in place, commodity price protections in place. And now, with the amount of backlog we have, we have the ability to be a little bit more selective on the bids we're going after, and the pricing we're going after them with, that's all leading to margin expansion in the business. Specifically in Q3, we saw really two wins in that business. We saw job level margins increase significantly, as well as reducing our overhead costs that led to more efficient operations, which caused even more margin expansion in that business. We expect to see very similar results in Q4, that why we're ranged our guide in Development to the high end of the revenue guide of 5%, and we've increased margins essentially two-fold. We were at 70 basis last go-around for the year, now we're at 150 basis this go-around for margins. And that gets us back in really that 12.5% range of EBITDA. Remember, in '19, this business was at 14%. So, I still feel like there's opportunity to go with being more selective in the projects we're bidding, continue to produce high-quality results at that job level, coupled with the restructuring of our overhead to get more efficiency there. There is still room to grow in that business, in '25 and beyond, to get that margin back up to those 2018-2019 levels.
Jeffrey Stevenson: Great, that's very helpful, Brett. And then given your improved balance sheet and leverage position, Dale, I was hoping you could provide an update on the likelihood of returning to M&A in fiscal '25, and what types of acquisitions would be attractive for the company moving forward?
Dale Asplund: We've said, Jeff, we've paused a little bit this year as we did all the restructuring within our own company. The business is getting very close to being able to support M&A. And the people who are changing the culture in this business, my branches who can find us good deals are ready. And they want us to start looking at doing M&A. Our process to do M&A is drastically different than it was when the company struggled to integrate the businesses. We are asking our operation teams to tell us who they think would be the best fit in their market to join BrightView. To join BrightView has to be a privilege. We shouldn't buy companies that don't add value to us servicing our customers. We will focus that on probably greenfield markets that we don't operate in today. We will look at ancillary businesses, like Tree, that we could fold into markets where perhaps we're not doing the work today, we're using partners. We'll look at ways that we can be a better partner to our customers. Do I think we're going to return in 2025? Absolutely. Brett has done an amazing getting me in a position with our position with our balance sheet that we're ready to go. And I'll let him comment quickly on just what that means, because I think it's worth noting where our cash position was last year versus where we sit today. So, Brett, I'll let you --
Brett Urban: Yes, Jeff, it's a great question. Look, right now we sit with over $535 million liquidity. And of that liquidity, $115 million of that is cash. Last year, we had $10 million of cash, which essentially make one or one-and-a-half times payroll. So, we're in such a better spot from a cash position. When we get back into M&A, we will have the cash to fund that M&A. And I would even say from a process standpoint, we now have our strategic partners, with One Rock Capital onboard, when we do get into M&A, we start thinking about how to do diligence differently, how to look at opportunities areas differently, how to not only identify synergies but track synergies. We have this partner that does it every day, One Rock, who is going to help us build out and fortify that process. So, you think about the process of going through diligence with the support of One Rock, you think about the process changes from our field managers bringing those opportunities to us, so bottoms-up, not a tops-down. And you couple that with the cash and liquidity we have in the balance sheet to go execute. When we are ready to do M&A, we're better positioned today than we've ever been to execute.
Jeffrey Stevenson: Now that sounds great. And I appreciate you taking my questions. Thank you.
Dale Asplund: Thank you, Jeff.
Operator: Thank you very much. Our next question is from George Tong with Goldman Sachs. George, your line is now open, please go ahead.
George Tong: Hi, thanks. Good morning. You talked about dedicating investments back into the business and into personnel. So want to get a better sense of the timing and where exactly those investments will play out over the next couple of quarters, if you can talk a little bit more about that that'd be great?
Dale Asplund: Yes, thanks, George. Good question. I think we want to make sure that all of our customers get the service that they're provided. We want to make sure that nobody is pushing our employees to cut any corners when it comes to customer service. So, the majority of that cost comes at the expense of making sure they have enough hours to do that service in the form of labor. But that's what's driving a lot of that employee retention, that employee turnover decrease we're seeing, because people don't feel like we're asking them to do more with less time. They feel like they're being allocated enough time to do the service level that they can and require to service our customers. And it's showing up in the numbers. It's showing up in our employee engagement, and in our customer retention. So, we're investing it, we did the Boots program, everybody saw that. But more importantly, it's in the labor for these people, it's making sure that they can put in the hours every week that they need to, to service our customers. But Brett, I'll let you kind of --
Brett Urban: Yes, George, just to quantify that a little bit further, you think about our Maintenance business, we do about half -- we do about a third of our revenue in the first-half of the year. And then we do a third of our revenue in Q3, and a third of our revenue in Q4. So, we said in the prepared remarks, in the script that we invested around $10 million more in frontline labor. Actually, in the first-half of this year, we invested about $8 million in frontline labor, right? It's just our business over the first two quarters isn't any big as the third quarter. And included in our guide is to invest more frontline labor, right around that same $10 million mark that we did in Q3. So as Dale mentioned, I mean again being unwavering on that customer service level, making sure they get the service that they deserve and that they're paying for, and those investments that we're making now, all while guiding to a record year, all while guiding to incremental improvement; those investments we're making now will lead to that long-term sustainable growth that we're looking to build. So, we couldn't be more excited about the flexibility we have with some of the overhead savings that we've had in the business and how Development continues to share their momentum to be able to go and reinvest those dollars back into our customer service.
George Tong: That's helpful. And then with respect to the customer service, could you give some examples of some of the blocking and tackling you're hoping to improve with labor and with some of the best practices, and how that should help improve the overall customer experience? So, what exactly the staff are doing better, going forward, compared to with the past?
Dale Asplund: Yes, look, let me give you one example of something we're working on, George, that helps the employee morale and it makes our customers good. Unfortunately, a lot of the work we do is outside, and it's weather-related. So, in markets we're doing work to try to have our employees work four 10-hour days versus five eight-hour days. By doing that, if one day, during the work week, Monday through Thursday, we get rain for the day that we can't work, we can have a makeup day on Friday. The employees still get their 40 hours, we still provide the service during the week to the customer that they expect. We don't try to just take a week off and catch up with them the next service cycle. It's a win for us long-term. It costs us money short-term, but the employees appreciate it, the customers appreciate it. And all it takes is for us to let the customer know, "Hey, it's raining today, we're not going to be out there. We'll be out to do your service on Friday." It's a different culture in the business than what we had just nine months ago. So, it's a great example. It's the best way I can say it. It's about making sure we do what we said we're going to do every week.
George Tong: Very helpful. Thank you.
Dale Asplund: Thanks, George.
Brett Urban: Thanks for the question.
Operator: Thank you. Our next question is from Stephanie Moore with Jefferies. Stephanie, your line is now open, please go ahead.
Harold Antor: Hello, this is Harold Antor on for Stephanie Moore. On the tech side, I know you talked about ride optimization. Just wanted to get an idea of where you are on that front, and some of the other initiatives that you're doing on the tech side? And then if you could quantify for us how much savings you're seeing from this route optimization and using less fuel, and what percentage of fuel represents on cost of goods sold, any comments around there would be helpful? Thank you.
Dale Asplund: Yes, so Harold, let me start off with that, and then Brett could add any comments he wants. But look, I think the tool that we have deployed to our branch is the second step in our go-to-market strategy to better drive efficiencies at our branch. If you remember, earlier in the year, we've realigned our sales force to go under our operations team so that we have two people working together to go after the market. This tool enables them to identify maybe where we have customers, as the example shows, that are remote, that we're spending too much time driving to, and we're not spending enough time servicing customers. So what this technology enables us to do is to actually go after customers that are geographically close to the customer which we have today that might be remote so that we can retain all our customers and drive profitability long-term. This tool is in the early stages. Our branches working with through sales force are still in the early stages. But this is another example of technology that we're giving our branches that allow them to be able to manage their business better. If everybody remembers, in the beginning of the year, in the early stage is said we are going to transform the way we support our branches. We're giving them a playbook that allows them to manage their business better. We're going to give them tools, like this tool that we're showing you, so that they can run their business better. That was a big driver when we said we wanted to divest the U.S. Lawns business that we sold at the beginning of the year. We did that because I don't want to give people this tool that we're investing in to drive our branches to grow. That's why we divested that business. Now, this is just one example of tools that we're looking at. Our number one asset, I started the call off with this, is our employees. We are in the process of selecting and implementing a new HRIS system so we can manage those employees, from the time we onboard them, from the time we recruit them, all the way through the annual performance cycle. So, getting a better tool to allow us to do that will create huge value for us. And we have a lot of crews that go out every day. And today, unfortunately, we don't leverage technology to manage that process. But we're drastically changing that, and we're implementing a new system that we plan to roll out in '25 that'll allow us to use technology to manage those crews as they leave, and we need to shift resources around. We're still in the early days, so it's tough for me to give you a quantitative number that comes from this route optimization. But what I will tell you qualitatively, we are making huge progress in getting people aligned. But Brett, I'll let you add.
Brett Urban: Yes, I mean fuel is one area, right, Harold? Fuel is about 2.5% of revenue for us, so call it $75 million or so of fuel cost if you do the math. There is absolutely route optimization that will add some efficiencies there. But even more is the wear and tear on our trucks, the wear and tear on our equipment, onloading and offloading, all that from our trucks every day, I mean that adds opportunity as well. Not to mention the efficiency of our crews, as Dale mentioned. When you have to get and pack all that stuff up and get on a truck and drive 25 miles, which is the example we gave in the presentation. 25 miles in the country might take you 30 minutes. 25 miles in the middle of San Francisco or New York or any major metropolitan area could take you an hour-and-a-half; that that is all wasted time. So, the more we can equip our sales force with this type of data and drive that route optimization, we're going to see efficiencies throughout the P&L, in labor costs, there are jobs, in fuel efficiency, in maintenance of our pair efficiencies, et cetera. So, it's a great question, and we feel that is going to be a big unlock as we get into the future of really driving efficiency throughout the P&L.
Harold Antor: Thank you. Thank you for the color. And I guess on SG&A as a percentage of revenue, as ran about 18% to 19% for the most part, historically. But you guys have been making considerable progress. So anything about the long-term business outlook, where do you think this business can run on a SG&A front as you continue to execute on your profitability growth strategy? Thank you.
Dale Asplund: I'll start. Harold, look, I'm proud of all the overhead we've been able to remove from the business because a lot of it was redundant and created some of those silos that we had. We are going to invest in our sales force. We are going to grow our sales force. And our go-to-market team is focused on that as we speak, adding sales resources. As we get our crews, our tools, our ability to service customers at that premium level, we are going to turn loose a sales force that goes out there and gets us more customers so we can grow this business. So, we made great progress. The overhead we've taken out was needed overhead reductions; the investment we're going to make is going to be in people to help us find new customers. But Brett, I'll let you give --
Brett Urban: I think you said it right on. I think, Harold, it's -- we're not going to guide to a specific line on the P&L, but even if I was going to guide it, it'd be tough to do right now because we're making so many investments back in different areas of the business, as well as centralizing resources and creating efficiencies. And those two things are working against each other, but they're the right long-term moves for the business. I think that the thing you could be confident on, Harold, is whether SG&A stays at 18.5%, whether it goes to 19%, whether it goes to 18% long-term or maybe less, what you could be confident is we are focused on that total EBITDA margin expansion. And we're going to gain efficiencies by centralization and use of those efficiencies to reinvest back into growth; that's going to be the key. And we're committing to that margin expansion, not only this year which is going to be a little bit more than those 100 basis that we're saying, but next year as well, getting back to those, call it, IPO levels which were in the 12.5% range.
Harold Antor: Thank you. I'll leave it there.
Brett Urban: Thanks, Harold.
Dale Asplund: Perfect. Thanks, Harold.
Operator: Thank you very much. We currently have no further questions, so I will hand back over to Dale for any closing remarks.
Dale Asplund: Thank you, Operator. I'll close by reiterating that we are extremely excited, as you can tell, and have a growing level of conviction regarding the transformation of BrightView. I am extremely happy with our record Q3 results. Long-term, our objectives remain clear. We are committed to becoming One BrightView, growing profitably, and creating meaningful shareholder value. Thank you, operator, you can now end the call.
Operator: Thank you very much everyone for joining. This concludes today's call. You may now disconnect your lines.